Operator: Welcome to the Dundee Precious Metals’ Q4 and Full Year 2015 Results Webcast and Conference Call. I would now turn the meeting over to Ms. Janet Reid. Please go ahead, Ms. Reid.
Janet Reid: Good morning, everyone. I am Janet Reid, the Manager of Investor Relations. Welcome to Dundee Precious Metals fourth quarter conference call. With me today are Rick Howes, President and CEO and Hume Kyle, Chief Financial Officer, who will each comment on the quarter as well as John Lindsay, SVP Projects who are here today to assist with answering questions following our formal remarks. After close of business yesterday, we released our fourth quarter and annual results and hope you had an opportunity to review our material. All forward-looking information provided during this call is subject to the forward-looking qualification, which is detailed in our news release and incorporated in full for the purposes of today’s call. Certain financial measures referred to during the call are not measures recognized under IFRS and are referred to as non-GAAP measures. These measures have no standardized meanings under IFRS and may not be comparable to similar measures presented by other companies. The definitions established and calculations performed by DPM are based on management’s reasonable judgments and are consistently applied. These measures are intended to provide additional information and should not be considered in isolation or as a substitute for measures prepared in accordance with IFRS. Please refer to the non-GAAP financial measures section of our most recent MD&A for reconciliations of these non-GAAP measures. Please note that operational and financial information communicated during this call has generally been rounded and is in U.S. dollars unless otherwise noted. On this morning’s call, Rick will comment on our fourth quarter and annual operating results as well as the progress being made on our capital projects and exploration programs for the quarter. Hume will then provide an overview of our fourth quarter and 2015 financial results and our guidance for 2016. With that, I will turn the call over to Rick.
Rick Howes: Thanks, Janet. Hello everyone, and thanks for joining us today for our fourth quarter and full year 2015 conference call. I am pleased to provide you an update of our fourth quarter and year end results and progress on our key projects and initiatives and our expectations for 2016. We saw a sharp decline in copper prices in the fourth quarter and continued weakness in the gold price. It is encouraging to see the recent positive move in the gold price this year, and we can only hope that this marks the end of the three consecutive years of gold price declines and that better days are ahead for gold. Despite the continued metal price weakness our balance sheet remains in good shape. Our debt continues to decline and now it sits on $147 million as of the end of December. We remain in compliance with all of our financial covenants and we have $26.5 million in cash and $160 million in undrawn revolving credit facility. Our operations continue to generate positive operating cash flows and our capital spending has decreased dramatically as we come to the end of the acid plant project at Tsumeb in Q1. We continued to benefit from the majority of 2015 copper production being hedged at $3.21. These hedges will come off in 2016, however new hedges are in place for 64% of our copper production at $2.31 to protect further downside risk on copper. All of our operations had solid performance in the quarter, and ended the year meeting or exceeding original guidance on production and unit costs. We had record annual gold production including our pyrites, of 194,575 ounces. Our 2015 gold all-in sustaining cost per ounce of $620 decreased 10% relative to 2014 and remains well below industry average. Through our cost reduction efforts, we have reduced 2015 corporate G&A spending by 37% relative to 2014. Similarly, we have reduced exploration spending by 45% resulting in reduced overall corporate spending of $14.6 million. We continue to look for further opportunities to reduce cost throughout our business in 2016. Chelopech results in Q4 and for the full year were in line with the expectations achieving record gold production of $169,725 ounces for the year including record gold producing pyrites of $54,774 ounces. Chelopech cash costs per ounce of gold and copper concentrate was $354 in the quarter and $353 remaining one of the lowest costs in the industry for the full year. We are however expecting lower copper and gold grades in 2016 as we move closer to reserve average grades of 0.95% copper and 3.2 grams per tonne of gold. A number of optimization and performance improvements are planned to lessen the impact of lower grades and lower copper prices. We are looking to increase mined and mill throughput by 10% in 2016 through further optimization of the processes. In December, we announced a 15% or 4.2 million tonne increase in the measured and indicated mineral resources at Chelopech. An exploration drill program targeting the old sub level cave mining areas confirmed the historical in-situ resources left behind, which were restricted from mining by Bulgarian authorities due to technical difficulties. We have always considered that these volumes may be mineable. Over the last two years, Chelopech has successfully demonstrated the safe and efficient recovery of 150,000 tonnes of ore from the block 150 ore body crown pillar under the -- old cave zones. It is intended to use the same mining approach as successfully demonstrated with the 150 crown pillar to be able to extract these materials in proximity to the historic cave zones. Further exploration drilling is planned for 2016, and a possible expansion to current production will be evaluated and considered once sufficient drilling has been completed. At Kapan, the focus on better quality drilling and blasting practises, reduced dilution has resulted in significantly improved grades in the quarter and continues to trend up quarter-on-quarter improvements and grades that we saw all year. Problems with one of the mines few jumbles [ph] in quarter three had a negative impact on mines developed inventory levels and available working phases for production in Q4. However, this has been since been resolved and developed inventory should be sufficient to achieve target production in 2016. Mine net production guidance for the year through a number of cost reduction efforts and benefitted from a weaker Armenian dram. Gold cash costs per ounce improved by 15% to $624 per ounce relative to 2014. These improvement trends are expected to continue and result in Kapan becoming cash positive in 2016. In light of the current operating environment we intend to review the underlying assumptions for the expansion plan and we do not anticipate proceeding with the expansion until this review is complete. The Tsumeb smelter achieved solid performance in Q4, smelting 55,833 tonnes of concentrates following the unplanned shutdown of the Ausmelt furnaces in September to replace the refractory line. The shutdown was completed within 22 days and the smelter resumed operations on October 5, 2015. The current Ausmelt lining is expected to run through to June 2016 with a single outage planned for mid-2016. Full-year 2015 concentrate smelted was 196,107 tonnes and was within guidance. With the new converters coming on line in early 2016, we expect to ramp up in smelter throughput to full capacity. With third-party tolling rates continuing to improve and unit cost declining as the throughput ramps up, we are expecting to see a strong increase in margins and EBITDA in 2016. The operational changes caused by the smelter upgrade projects resulted in a build-up of smelter secondary materials that made it difficult to estimate metal content and recoveries. With the project coming to completion in the first quarter of 2016 and stabilization of the new processes, we expect to mitigate the potential sources of exposure and decrease the level of secondary materials accumulated, which will in turn reduce the deductions for stockpile interest and the variability around the estimated metals exposure. We successfully completed the new acid plant commissioning and hand over to operations in Q3 and began normal operations in acid deliveries in October, producing 36,905 tonnes of acid in the quarter, some of which was used to build inventories for our onsite storage facilities. TransNamib, the Namibian rail carrier are meeting the delivery requirements to customers as specified in our agreement with them and are expected to take delivery of the first new acid rail tanker cars this month. Construction of the last piece of the current capital upgrade program, the two new converters is progressing well. The new converters, together with their associated off-gas system and tie-ins to the acid plant are now complete. First converter is now being heated up and we will begin our operations this week followed by the second unit two weeks later. Once both units are operational, this will result in 100% of off-gas fleet to the acid plant. The project is on schedule and on budget with full completion of the project expected in Q1. Once the new converters are operating and the old converters are turned off, we expect to be able to ramp up throughput for the full 240,000 tonnes per year. Our environment and health monitoring results indicated we are seeing a significant improvement as a result of the transformative investment program. We continue to meet the government technical committee to share the results of this effort. We are considering further optimization of the smelter operations, including the installation of a holding furnace, which will provide surge capacity between the Ausmelt furnace and new converters to potentially increase the throughput of complex concentrate to as much as 370,000 tonnes per annum and leverage the fixed cost infrastructure of the facility. An internal pre-feasibility level study was completed in Q4, which shows an attractive return on this investment. We will now conduct the full feasibility study and commence environmental and other permitting work. We continue to explore potential partnerships to assist in the funding of this expansion. Major permitting programs occurred at Krumovgrad in Q4. On October 12th, the Krumovgrad main detailed development plan was approved by the Krumovgrad Municipal Council and came into full force following the expiry of the window for appealing this decision on November 19, 2015. Following the final approval of the DDP, the company submitted an application to the Executive Forestry Agency in November for final re-designation of the land for forestry land to industrial land. This final approval was granted in February 2016, is now in the final appeal period, following which the company will initiate the land purchase process. The company is targeting land purchase and subsequent receipt of the main construction permit in the first half of 2016. We expect to complete an updated execution schedule and associated capital cost estimated by the end of March 2016 and subject to the full funding be in place and a construction permit in hand, we will then seek Board approval for full project release. It is currently anticipated that the construction could commence in the second half of 2016, with commencement of production in the second half of 2018. At our 50.1% of Avala exploration projects in Serbia, work continues on both the Tulare Project in Southern Serbia and the Timok sediment-hosted gold project in Eastern Siberia with good success. In addition to this work, Avala carried out its early exploration work on its 100%-held Lenovac license, which is strategically located immediately south of the Reservoir Minerals/Freeport-McMoran Cukaru Peki discovery. Following the completion in November 2015 of the earn-in and joint venture agreement with Rio Tinto, Avala proceeded with drilling an initial single deep drill holes in the north portion of the project and is now down to 852 metres and assay results are pending. At the Timok sediment hosted gold project, Avala completed its planned trenching and channel sampling program, totaling 1,280 metres, on the Bigar Istok license. This program returned a number of intervals of gold and associated base metal mineralization, and has been interpreted as a higher temperature style of mineralization similar to that found at Korkan East. Further interpretation of these results has led to the design of the required 1,500 metre drilling program within the Bigar Istok license, which was started late in 2015. Approximately 1,000 metres have been drilled to date and results will be released once drilling is completed and all assays have been returned. In summary, despite the recent weakness in our share price performance that does not properly reflect the underlying value of our assets, particularly with the smelter, we continue to focus on solid execution of our plans and targets to deliver the value potential from all of these assets. With the smelter upgrade projects finally coming to an end after five-years of hard work, we expect to start realizing the true benefits of this work in 2016 through increased earnings. We will continue to advance our Krumovgrad project to construction of ready status and evaluate our fixation to move it forward at that point based on market conditions and our ability to finance. Thank you. I will now turn the call over to Hume who will review the financial results and a 2015 to 2016 guidance following which we will open the floor to questions.
Hume Kyle: Thanks, Rick. For the fourth quarter, we reported an adjusted net loss of $0.03 per share compared to $0.12 during the corresponding period in 2014. Adjusted EBITDA of $22 million compared to $40 million and funds from operation of $22 million compared to $39 million. This quarter-over-quarter decreases were driven primarily by lower volumes of metals sold, lower commodity prices, high deductions for estimated metal exposure at Tsumeb and higher local currency expenses that were partially offset by a stronger U.S. dollar and higher third-party toll rates and volumes smelted at Tsumeb. For the year, we reported no earnings compared to $0.10 in 2014, adjusted EBITDA of $88 million compared to $98 million and funds from operations of $81 million compared to $86 million. These decreases were driven by lower commodity prices, higher deductions for stockpile interest and estimated metals exposure at Tsumeb, a higher proportion of lower margin third-party complex concentrate at Tsumeb and higher local currency operating costs, which again were partially offset by a stronger U.S. dollar, lower G&A expenses and higher third-party toll rates at Tsumeb. These quarterly and annual results exclude the impairment charges that were taken in respect to Kapan to reflect lower projected commodity prices and a slower ramp up of its production and in 2014, the write-down of capitalized exploration and valuation cost, which had been incurred primarily to support an open-pit expansion. From a cost perspective, the consolidated mining cash costs were all within or below the guidance that we issued at the beginning of the year. Cash cost per tonne of ore processed for Q4 of $47 was comparable to 2014. For the year, cash cost per tonne of ore processed declined 8% to $43. All-in sustaining cost per ounce of gold for the quarter and year was $758 and $620 respectively compared to $419 and $690 during the same period in 2014. The quarter-over-quarter increase reflects slower volumes of payable gold, lower by-product prices and volumes, higher local currency operating costs and higher sustaining capital, partially offset by the stronger U.S. dollar. The year-over-year decrease reflects a stronger U.S. dollar, lower sustaining capital, lower G&A expenses, which were partially offset by higher local operating costs and lower by-product prices. Cash production cost per tonne at Tsumeb for the fourth quarter were essentially unchanged relative to Q4 2014. For the year, it increased 7% to $377. Quarter-over-quarter results benefited from the stronger U.S. dollar, which more than offset the increase in local currency operating costs. While for the year, the increase was due primarily to increased maintenance activities and higher electricity rate that were partially offset by a stronger U.S. dollar. Sustaining and growth capital expenditures during the quarter were $12 million and $9 million respectively for an aggregate spend of $21 million is down from $26 million in the corresponding period in 2014. Sustaining and growth capital expenditures for the year were $34 million and $54 million respectively for an aggregate spend of $88 million, down approximately $96 million from the corresponding period in 2014. These decreases reflect reduced spending on the assets plans and copper converters of Tsumeb and completion of the pyrite recovery project at Chelopech in 2014. Turning to 2016 guidance, overall mine production is expected to be between 2.4 million and 2.7 million tonnes, up approximately 5% to 10% from 2015 driven by increased production at Chelopech. Gold contained in copper and zinc concentrates produce is expected to be between 119,000 and 139,000 compared with 140,000 in 2015 due primarily to lower expected grades at Chelopech. Copper production is expected to be between 35 million and £40 million compared with £42 million in 2015 reflecting lower copper grades at Chelopech. At this smelter throughput is expected to be between 215,000 tonnes to 250,000 tonnes, up from a 196,000 tonnes in 2015 reflecting the completion of the new asset plans and a larger copper converters. Cash cost per tonne of ore mine are expected to be between $40 and $45 in line with 2015 cash cost of $43. All-in sustaining cost per ounce the gold net of byproduct credit is expected to be between $940 and $1,070, up from $620 in 2015 reflecting lower forecast byproduct prices including the effect of lower hedge copper prices and higher forecast of sustaining capital expenditures. At this smelter cash cost per tonne net of byproduct is expected to be between $305 and $400 down from $409 in 2015. This new measure which was introduced in 2014 following the commencement of commercial production at the asset plan includes asset production cost and non-production cost related to transportation as well over revenue credits from the sale of the assets and arsenic. Total capital expenditures for 2016 are expected to be between $62 million and $78 million, down from $88 million in 2015 with growth spending approximately 40% of all capital expenditures which will focused primarily on completing the new copper converters at Tsumeb and securing the remaining permits related to our Krumovgrad Gold Project. Sustaining capital expenditures are expected to be in the range of $35 million to $47 million, up from $34 million due primarily to higher capital development at Kapan. Based on this outlook and the current market environment, we continue to focus on delivering positive free cash flow in 2016, maintaining our undrawn lines of credit under our revolving credit facility, at or near current levels and expect to remain within all of the financial covenants contain in our debt facilities including our debt EBITDA ratio with plans to stay well below our target maximum of two times and our bank covenants of 3.5 times. Finally, we continue to progress a number of transactions that support moving forward at the appropriate time whether our gold project Krumovgrad and the new rotary holding furnace at Tsumeb. Bearing in mind that an over reliance on the undrawn lines of credit in this market and the issuance of equity at today’s press levels would not be a prudent strategy. As Rick stated earlier, we anticipate securing all remaining construction permits at Krumovgrad by mid year and are developing a go-forward plan that we will take to the board later this year. With that, I will turn the call back to operator.
Operator: Thank you. We will not take questions from the telephone lines. [Operator Instructions] The first question is from Sam Crittenden of RBC Capital Markets. Please go ahead.
Sam Crittenden: Thanks. Hi, good morning. Just looking for some clarity, Rick you touched on this earlier about secondary material at Tsumeb, -- sorry, could you clarify how much of that was processed in Q4 of the 56,000 tonnes you processed?
Rick Howes: Not sure I have the number.
Sam Crittenden: Just roughly, I knew was it a third half, I’m just trying to get a sense. 
Rick Howes: It’s made up of a number of different types of materials. The majority of the material we are putting through is called reverts. So, Matt, we typically are drawing down about a 100 tonnes a day of reverts, 100 to 150.
Sam Crittenden: Okay.
Rick Howes: There are other categories as well of the secondary material but the reverts tend to be the highest grade material.
Sam Crittenden: And then when do you think stockpile will be exhausted?
Rick Howes: I mean the total stockpile I suspect it will be over the course of ’16 and ’17. It’s not going to get drawn down that quickly.
Sam Crittenden: Okay. So in terms of revenue per tonne and then cost metrics, can we look at Q4 as a steady state for 2016?
Rick Howes: Well, not in terms of -- I don’t think exposures. I think in terms of interest, you pressure the index or interest expenses of the inventory that could sort of steadily decline. It’s the exposure that should start to reduce as we draw these inventories down but probably more quickly.
Sam Crittenden: Okay. But then just in terms of revenue per tonne and cost per tonne at the smelter to get an EBITDA number, I guess you are forecasting a bit of an increase in tonnage but the other metrics would they stay roughly similar or would they improve in 2016? I’m just trying to figure out how to think about 2016 EBITDA?
Hume Kyle: All right. Yeah. I guess what I would say is that the costs that we have incurred with respect to stockpile interest charge and metals exposure which are deductions from revenue, which probably in aggregate have totaled something north of a $100 a tonne, should be well below that number in 2016 and I guess I would say probably half. If I was to pick the number, I’d probably say half of what the 2015 impact will be the impacts for 2016. And that’s really a reflection of the fact that, as Rick said, we do anticipate seeing secondary materials decline in 2016. They won’t be eliminated but that should have the effect of reducing the deduction for stockpile interest and the metals exposure we believe will be rolled down from the levels that were recognized in 2015 and I can’t be precise really. But I’d probably say somewhere between maybe $0 million and $4 million, $5 million would be kind of a range that we would expect in 2016 and that’s reflecting just the inherent uncertainty around the estimates. Over 2017, we would be able to give a much more precise answer I believe. 
Sam Crittenden: Okay. But starting Q1, Q2, work out a better sense for steady state EBITDA, I guess is really kind of what I’m after.
Hume Kyle: Certainly, Q2 because of the converter projects has -- once it’s up and running and we’ve got sort of steady stabilized operating performance.
Sam Crittenden: Okay. Thanks very much, guys.
Hume Kyle: Okay.
Operator: Thank you. [Operator Instructions] The following question is from Lauren McConnell of Paradigm Capital. Please go ahead.
Lauren McConnell: Hi guys. Just a couple of questions relating to hedging. If the hedge price used in determining the credit applied in calculating the all-in sustaining cost for 2016 and maybe even for 2015 and ’16, or was it the spot cooper price. And then my second question was just can you touch on sort of what hedges are in place for this year in terms of the metal prices?
Hume Kyle: Yeah. So the all-in sustaining cost number that we report includes realized price. So it reflects the hedged and unhedged piece both for ’15 and for ’16. So, we are around 90% hedged to 321 for ’15 and as Rick said, we are about 64% hedged at 232 for ’16. And that’s the only other hedge that we do have in place for ’16 is with respect to a portion of our pyrite productions. So, we’ve hedged just over 11,000 ounces of gold relating to the gold contained in our pyrite production and we did that at about 11.77.
Lauren McConnell: Okay, perfect. Thanks guys.
Operator: Thank you. There are no further questions registered at this time. I’d like to turn the meeting back over to Mr. Howes.
Rick Howes: All right. Well thank you very much for attending the call this morning and wish everybody a good day and a good week. Thank you.